Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries’ First Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, May 07, 2015. I will now turn the conference over to Mart Schwartz, President and CEO. Please go ahead.
Mart Schwartz: Thank you. Good morning everyone. On behalf of Jeffrey Schwartz and Frank Rana, welcome to Dorel’s first quarter conference call. We will be pleased to take your questions following our initial comments. And as always, all numbers mentioned are in U.S. dollars. As expected the continued strength of the U.S. affected Dorel’s first quarter performance in our non-U.S. markets where we derived almost half of our revenues. FX translation to our reported currency reduced operating profit by approximately 12 million in all areas across the company, price increases has been implemented in certain market to mitigate the currency issues. Other markets will see price increases beginning in the second quarter. Situation clearly not unique to Dorel masks a number of the first quarter’s positive accomplishments. Another factor affecting Q1 was the West Coast port slowdown which persisted for months. While initially we are not seriously affected, the disruption eventually cost Dorel approximately $1.5 million in excess transportation and logistics cost during the first quarter. This doesn’t take into account the shortage of product created as well as missed and cancelled orders. Fortunately this matter has been resolved. The integration of the former Laredo facilities now rebranded as Dorel Juvenile China is proceeding as planned and is critical element in creating a future cohesive and efficient supply chain across the Juvenile segment. Work is underway to improve operations in the factories. We have changed out most of the previous management and have recruited a new team from different areas of Asia to fill senior positions. They’re doing an excellent job of leveraging this acquisition as the focus remains on improving and benefiting from these operations. The new team which includes better quality control people is working diligently with segment management to increase efficiencies and implement cost savings throughout the operations. Initial areas of improvements to streamline operations and enhance product quality among other things have already been identified and have begun rolling out. The results of these initiatives will materialize in the second half as these programs are cascaded through the organizations. We are committed to maximizing the full potential of our Chinese facilities. 2015 is a year of transformation for Dorel Juvenile as we implement the changes in culture, integrate our improved supply chain and implement efficiencies across the segment. Among the changes, are further benefiting from the new management team for our manufacturing facilities as well as the Shenzhen sourcing office. This group is looking at all facets and manufacturing and making decisions how to do things better. We’re developing strategic partners for parts and sub assemblies. Certainly tasks are being or will be subcontracted to third parties or more specialized and can do specific jobs better than us. Consistent global order planning and processing has being established. Management is working closely with all divisions regarding better planning, better order processing and improved quality control. In terms of leveraging our buying power in China, we have met with all factory suppliers to renegotiate the cost of the materials and services. We are consolidating the factory supply chain to achieve better services and costs and already seeing lower cost as well stopping level are being streamlined with a view to removing redundant levels. Our American Juvenile business had a good start to the year and new product introductions are healthy. Many new products are in the pipeline for later this year as well as into 2016 and even 2017. The Cosco Scenario next infant car seats. The next generation of our popular opening priced point scenario is performing well. Spokesperson Kimberly Henderson whose daughter was saved by a Cosco kid’s car seat in October and in an October 2014 crash has become a YouTube sensation with her lullaby mom rendition. She has created a social media buzz and has exposed the Cosco brand name to millions. Actually sales of Cosco Private Products are up 22%. We firmly believe this combination of an innovative product and targeted marketing spend is required for any new successful product launch. We also recently launched the Safety 1st Step and Go Travel System, one of the first travel systems in the industry to feature both the unique steps to open action and washable fabric. Last month Dorel Juvenile USA staged the PR event in New York City hosted by celebrity stylist and expecting mom Bobbie Thomas. To introduce the new premium built to order offering for consumers wishing to design their own Maxi-Cosi Max 30 car seat. The built to order is another first in the Juvenile industry. This event garnished 1.7 million social media impressions on Twitter alone. Dorel Europe’s AxissFix car seat has won the prestigious Red Dot Design award. It is performing above forecast with many new listings in Q1. A lot of our car seat inputs are in euros as we assembled in Europe. So this will help mitigate some of the FX impact. Sales growth in Latin America was in the low double-digits and Brazil did particularly well despite the weak economy in that country. In fact the month of March was the highest sales month for Brazil. To counter the currency issues our Juvenile segment is working to implement price increases and further offset the FX impact by reducing costs with suppliers. Excluding foreign exchange differences the Dorel Sports grew both revenue and operating profit. The segment recorded moderate progress in its markets in local currencies with low double-digit organic revenue growth in Europe, Japan and UK where Cannondale is benefiting from strong demand and a better supply position. The CSG Q1 decrease in year-over-year operating profit was due entirely to FX fluctuation. At Pacific Cycle the quarter started slowly to finish strong and we have seen a very good start to Q2. Sales of all the electric ride-on toys continued their positive momentum. Top-line organic growth moved ahead nicely in Brazil driven by the continued success of Cannondale, GT, Mongoose and Schwinn in that market. Healthier dealer stock levels and increased demand in the opening price point bikes. Since December Caloi successfully implemented price increases and this bodes well for the division's Q2 performance. Caloi is just one example as all divisions are taking price hikes with their customers. As with Juvenile Dorel Sports is also going back to its suppliers and seeking decreased cost wherever possible. Cannondale is already well established in the higher end category and is now creating new categories to appeal to as why the spectrum is possible, including the casual and aspiring riders. Additional funding of new product development has resulted in the creation of nine new Cannondale platforms all of which will be launched starting in Q4. This is the largest number of launches in the segments’ history and underlying Dorel's sports quest for constant innovation. Already in stores is the new Cannondale Slice ideal for serious triathletes looking for the ultimate and the lightest best fitting and most comfortable triathlete bike and there is much more to come. Home Furnishing side one of its best quarters in recent years with all divisions posting improved operating results and margins. The growth came from the sale of mattress, beds and the upholster furniture with the segment benefiting from increased listings at retailers with strong sell through on many items. The expansion of SKUs helps created a record quarter for online and drop shipment or sales which continued to represent a growing percentage of total sales. For the second consecutive quarter there was also a strong increase at the brick and mortar channel. We are seeing improved efficiencies as well at Ameriwood. A favorable Canadian dollar versus the U.S. dollar for manufacturing was also a positive factor as we export considerable amount of RTA products from Canada to the U.S. There has been significant progress in home furnishing with warehouse and distribution cost. And as a percentage of sales they’re trending below last year as the investment in technology and automation is starting to pay-off. Jeffrey will now provide the financial perspective. Jeffrey Schwartz Thank you, Martin. Again from a financial standpoint the highlight is the change in foreign exchange. As Martin mentioned $12 million is the head on operating profit approximately. Of this actually 13 million of negative impact on the Sports and Juvenile group while we did have a positive $1 million effect at the corporate level. Overall the first quarter revenues were up 2.7% to 665.5 million compared to 647.7 million last year. Organically the revenue increase after removing the impact to foreign exchange and new business acquisition was about 5%. Pre-tax earnings decline 48% to 15.4 million from 29.8 million and the net income from the quarter 11.6 million down from 24.8 million. Therefore on a diluted basis that’s $0.36 for the first quarter compared to $0.77 last year. The impact of the foreign exchange variation between both periods is $0.30. The $0.30 is the overall negative impact but that’s made up of $0.38 negative impact on operations and a positive $0.08 which is included in the re-measurements of the forward purchase agreement liabilities which are in finance expenses compared to last year. Gross profit declined 200 basis points to 21.9 from 23.9 again foreign exchange having the largest impact there. Selling expenses decreased 0.4 million or 0.8% excluding selling expenses for Juvenile China which was acquired in Q4 selling expenses would have actually decreased by 3.8%. General and administrative expenses increased by 7.9% Dorel China is a part of that. Total finance expenses this one is a little bit needs explanation they decreased by 2.6 million from 8.4 million -- to 8.4 million from 11 million last year. Both this year and last year’s finance expenses include non-cash non-taxable amounts related to the re-measurement of the forward purchase agreement liabilities. So this year we had an income of $400,000 and last year we had an expense of 4 million. So the actual interest cash interest on long-term debt increased this year to 7.3 million from last year’s 4.9 million. And that’s -- most of that’s due to the borrowing cost related to the issuance of the convertible debenture that we took out for the acquisition of Dorel Juvenile China. The company’s tax rate in the quarter was 24.3 versus 16.8 again it moves around that’s basically just way the jurisdictions fell in the first quarter when we generated income we still believe that for the full year will be between 15% and 20%. Juvenile numbers, Juvenile segment increased by 2% from 269 million to 274 million. Organically this segment increased 3% if we take out the Dorel China and the exchange rate variations. The organic sales growth is principally because of the growth in Latin America where in local currencies our sales were over 10%. Operating profit for the period was 9.2 million a decline of 53% from 19.6%. This includes a full quarter of Dorel Juvenile China which was acquired in 2014. So all major divisions saw their currencies weaken against the U.S. dollar this had a negative impact on operating profits of about $6 million in the Juvenile for this quarter. Most of the remaining earning shortfalls were due to losses at Dorel Juvenile China and the recently created Dorel Juvenile Mexico as well as a $1.1 million acquisition related costs provided to the Dorel China acquisition. Gross profits decreased 240 basis points to 26% this was primarily due again to foreign exchange pressure in all the regions as well as the Dorel China acquisition. As previously stated we said Dorel China will not be profitable until the end of this year. Over in the Sports group, revenues decreased by 11.4 million or a drop of 4.8% 228 million versus last year’s 240. However again removing the foreign exchange year-over-year organic growth was actually 3% up, so that’s good. Strong sales were noted in the independent dealers mostly in Europe and Japan as well as Caloi in Brazil. The overseas markets especially Europe started the year very strongly. There was a little of a slowdown in the U.S. which had a softer start because of the late spring although spring is definitely up there now and we’re expecting the business to pick up. Operating profit decreased by 4.7 million to 11.6 million this compares to 16.3 million last year. Gross profit down to 23.4 from 25.1, that’s driven by the unfavorable exchange rates. Selling expenses decreased 1.8% and G&A were down 6.1%. These decreases are part of the result of the restructuring plan that we’ve done in previous years as well as lower expenses due to foreign exchange. The net negative impact of exchange rate on our operating profit was about 7 million. So to remove the impact on foreign exchange our operating profit would have actually increased by about 12%. So a pretty good quarter considering the foreign exchange that we had to deal with. Over in Home Furnishing sales were up 17.2% from 138.1 million last year to 161.9 million this year. The segments Internet as Martin mentioned there dropped, shift programs are up to 30% over last year. Although now we’ve see a growth again in brick and motor sales which we have seen struggling for a number of years. Operating profits 9.6 compared to 9.1 an increase of about 18%. Gross profit 12.8 small decline from last year’s 13.1% is driven by product mix change and slightly higher material costs in a ready to assemble furniture area. Operating costs consisting of SG&A and R&D rose by 11% compared with the previous year. A few items on the balance sheet, overall debt increased compared to December’s balance sheet. Traditionally the first quarter requires increased borrowings as the cash flow is generated from operating activities is more weighted towards the second half of the year. The additional debt increased in Q1 versus Q1 of '04 due to increase in inventory, increases in receivables and a decrease in trade and other payables. Inventory increased by about 1.7% by about $11 million, most of that is in sports area where bike sales are ramping up into the big Q2 but that was partially offset by decreases in Juvenile Home Furnishing. So with that I’ll pass it back to Martin.
Mart Schwartz: Thank you, Jeffery. So as expected the negative impact of the increased value of the U.S. dollar against practically all our local currencies, severely depressed earnings in the quarter of rate to stabilize somewhat over the past few weeks we have not seen any of the currencies in our market significantly increasing value. Therefore we expect lower earnings in Juvenile and Sports to continue into the second quarter. Now that currencies have started to stabilize price increases have been implemented where relevant and we anticipate this will benefit the second quarter although a significant benefit will be in the second half. In Juvenile our U.S. business show improved earnings for the balance of the year but it won’t be enough to offset the segment's overall currency challenges. Our European business has lost several margin points to exchange. We will continue to invest in the business as we work through this period but results of the full year will not match those as of 2014. In Latin America our teams have successfully overcome higher material cost due to exchange and we remain confident they will exceed prior year earnings. The integration of the Dorel Juvenile China is ongoing and will likely decrease earnings over the course of next two quarters. At Dorel Sports the second quarter should again organically details in earnings compared to the same period last year excluding the impact of foreign exchange. As stated in our year-end release we believe the second half will be strong and we will exceed the first half of significant new product introduction should generate incremental volume and revised pricing will boost earnings. In Home Furnishing the positive momentum of the first quarter is expected to continue throughout the year. I’ll now ask the operator to open the lines for your questions. Again please limit your questions to two on the first round. Operator?
Operator: Thank you. Ladies and gentlemen we will now conduct the question-and-answer session [Operator Instructions]. Your first question comes from the line of Derek Lessard from TD Securities. Your line is open.
Derek Lessard: Just a quick question on Dorel China, if you can just add I know you pointed to it in some of your comments maybe if you can just add some color to where you stand on the integration and basically what gives you the confidence in your outlook statement where it looks like you’re anticipating holding another two quarters of earnings pressure.
Mart Schwartz: Well, we’ve actually accomplished a lot I mean there is a lot to do, but we’ve actually put some behind us I think we have now the senior management team is in place. All experienced people that understand what the goal is and that’s where virtually every new senior person had to be put in, so we’re talking about probably a team five or six senior people. They are in place, they are working. We’ve seen quality levels are up significantly they are not necessarily exactly where we want them but we’re seeing progress there. There is a game plan. There is a schedule where we have to achieve certain areas and one by one we’re getting there. So we feel confident that, we see what the problems are and now we just have to execute and get it done.
Jeffrey Schwartz: We also done and working very hard on our purchasing services and raw materials, like I said they've met almost all of our suppliers. They are renegotiating all our costs. There also we’re looking at consolidating suppliers for similar products, for example today there might be 10 or 12 suppliers down to maybe three or four good ones where we can leverage the volumes and get even better cost. So all of that is process we’ve seen material reduction already and we’re far from the ends of this process.
Derek Lessard: And I guess maybe just a follow up on that, I think last call you had said that all the products destined for the U.S. was being manufactured in the plants and Europe was to come. Are you anywhere close to -- where are you in terms of getting producing European product?
Mart Schwartz: We’re getting closer, and right now we’re in the design and engineering stage. European products will probably start in the factory later this year. Right now we want to make sure that we do the best possible job on getting us the North American products which are less complicated. So we’re using North American products basically as our learning curve and then we’ll move into the European. So we’ll be pretty much heavily into the European in 2016.
Jeffrey Schwartz: Just to remind you we still have third party customers, so right now about half the factory is still making product for some of them are our competitors, some of them are retailers. So the factory is still busy it’s not an issue of factory load.
Operator: Your next question comes from the line of Sabahat Khan from RBC Capital. Your line is open.
Sabahat Khan: On the Juvenile side, can you maybe comment on how the U.S. mass segment is progressing and how the competitive environment there is?
Jeffrey Schwartz: We’re actually I think we’re making some nice progress. The Cosco brand that Martin talked about is really kind of the opening price point brand and probably a brand that had been neglected for years. We’re actually putting some marketing behind that, some better product design behind that and we’re starting to see some success. I mean 22% in that brand is -- it's our second brand after Safety 1st in the U.S. So, it’s good. We’re excited about that. And we're making some progress. It’s -- we had a good year last year we expect to have a better year focused a little more on earnings then on top line and we’re seeing results in the U.S. In addition, we’re also doing quite a good job on crib again we were in that business a number of years ago we got out of the crib business while the standards were being debated and now that it’s sort of there is a set level of standards we know what we have to do when we build the product. We’ve gotten back into and we’ve gotten a lot of success lately, so some of the growth in that segment is coming from crib also. But in general we’re making progress for probably the first time in a couple of years at the mass level.
Sabahat Khan: And just on the bike segment quickly can you comment on whether just the weather in Q1 that hit the U.S. market or was there something else there as well?
Jeffrey Schwartz: We’re not off by a lot here I don’t want to overemphasize just the U.S. didn’t go up while most of the other parts of the world went up. Weather definitely had a part in it. On the mass side I know we had a really big Q4, so we had some inventories I guess that more inventories sold in Q4 than Q1, so January was a fairly weak start on the Max side but it’s been building and March was really good and April is good. So, we’re -- I don’t put too much into that. On the independent side, we’re -- 2015 bikes were not our best bikes as far as a product launch Martin mentioned 2016 we have nine new platforms a lot of that is sort of catch up, you can’t introduce nine new platforms every year that’s a bit much but because we’ve been sort of a little bit behind in 2015 we’ve got a significant amount of new stuff coming out. And 2016 that’s the model year so that gets introduced in the second half of this year. So we get to see those results from those bikes this year. So I am pretty optimistic and I think we’ll be buying considering that we didn’t have a lot of new introductions in the ’15 year we’re doing our right with what we have.
Operator: Your next question comes from the line of Derek Dley from Canacord. Your line is open.
Derek Dley: Just following up on that last question, can you just talk about the inventory level at the IBD channel in terms of the 2015 model year bikes? I mean are you guys well positioned for the 2016 given the excited around the new product launches there?
Mart Schwartz: Yes, I think so. I mean it depends on what part of the world like if there is different inventory levels in different countries I think weather has to do with it, certainly Europe has -- a lot of people in Europe have bought a lot of bikes at the store level because they knew prices are going up. So they bought a lot. But I don’t see that as a problem. We are not seeing on excess inventories of really any model, no. So as an example if we go back to worst year which was 2013, discounting -- we were forced to discounting March I believe. From what I understand we haven’t started discounting yet and here we are in May. So it’s pretty much a normal year from that point of view.
Derek Dley: And just looking at your cash flow statement I know you mentioned this a little bit in your prepared remarks but you had a big working capital draw down. I think that number was around 117 million, should we expect that to reverse in Q2 or more so in the back half of the year.
Jeffrey Schwartz: Yes, I don’t see anything, that’s coming out of the AR a lot of it. We shift a lot of product in March, I don’t say March wasn’t uneven quarter. So our ARs has been pushed up. That should balance out, there is nothing in AR. There is nothing in inventories that stand out as to be abnormal from any previous year.
Operator: Your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Your line is open.
Stephen MacLeod: Just had a question on the sports outlook, two things; one is, what’s your outlook on the mass side of the business? And then secondly when you think about the strong organic growth profile or positive organic growth profile relative to FX, do you think that including FX do you see EBIT growth in that segment in 2015?
Jeffrey Schwartz: Do we see EBIT growth after, how does the FX figure into your question?
Stephen MacLeod: Yes, you said that you have a positive sort of organic growth profile through the year and I’m just wondering if that will be offset FX fully or partially or?
Jeffrey Schwartz: Yes, it’s going to be tough to beat last year’s number because of the FX, if you factor in the FX for sure we’re going to grow, that’s not an issue. But we have about -- almost 50% of our sales are outside of the U.S. in the bike business. So it will be very challenging to beat last year because of FX.
Stephen MacLeod: Okay. And on the Home Furnishing business which has actually been quite strong for two quarters now. The strong growth that you’ve seen in Q4 and Q1 I mean sort of like low single-digit growth in previous years. Do you expect that kind of growth trajectory to continue through the year or is there something Q4 and Q1 timing related that caused the sort of mid-teens growth profile?
Jeffrey Schwartz: I don’t think -- no, there is nothing special. We are seeing better growth and better demand I think is for the first, I think the last two quarters we are really seeing POS that the retailers going up at the brick and motor. So while we’ve been growing significantly online and that’s going to continue and that’s where I think our strength wise but the fact the brick and motor is doing better is probably really sort of super charging if we can call it back, the growth in Home Furnishing. So again we’re expecting difficult to forecast that division because it’s literally the week-by-week thing but we’re expecting a good solid year probably the best year in a long time.
Operator: Your next question comes from the line of Anthony Zicha from Scotiabank. Your line is open.
Anthony Zicha: Jeff, you’re looking forward to integration of the manufacturing facilities in China. Do you see any potential restructuring charges going forward as you transfer business in production to those plants? And the second part to that question is, what kind of annual CapEx are we looking at tied to those three plant facilities in China?
Jeffrey Schwartz: Well, the first part, the answer is most likely going to be yes, because we’re going to be cleaning up, not necessarily going to be staying in all the buildings we are in. We’re going to look to be more efficient and there could be some restructuring along the way to get us there. So, again I don’t have any estimate yet, because we don’t have the plans yet. But I wouldn’t be surprised to see some both cash and non-cash restructuring charges as the year goes on. And as far as CapEx, well, we reviewed our CapEx for the company and we’re at about 55 million I think we’re toning down some CapEx and other spots and obviously going to spend some in China. But we’re also moving away from the, I think what we'll call the older Chinese manufacturing attitude of try and do everything in house and just throw a lot of people at it. And instead we’re being more trying to take more of I guess North American or Western view of just being the most efficient. And people are -- they're cheaper there but labor is still a cost and we want to manage the cost properly and in some cases we’re going to outsource things that they’re doing currently in house. So, that’s not going to lead to any CapEx. So I don’t see a spike in CapEx for Dorel, if that’s what you are asking.
Anthony Zicha: And then Martin what do you see as the biggest risk going forward tied to those manufacturing plants since Dorel is going to be operating those plants?
Mart Schwartz: Just time to get everything is done, I think we know what has to be done, the lot of it's in progress, it’s just that if we keep to our schedule everything is going to be very good. The risk is they fall behind but we’re watching this very closely and so far we’re on schedule.
Operator: Your next question comes from the line of Mark Petrie from CIBC. Your line is open.
Mark Petrie: I just want to follow up on Juvenile and the performance just breaking it down FX and other. So was that tax about $5 million impact on operating profit and so then the balance of the decline was really China or Lerado?
Mart Schwartz: The impact of FX is almost seven but there was some price increases particularly South America so that’s why they seem to come out ahead. So the matter of fact would be maybe closer to 5 million after that.
Mark Petrie: And so Dorel Juvenile China was the balance?
Mart Schwartz: Dorel Juvenile China we’ve got $1 million charge for the acquisition costs that are still there then there is a bunch -- Mexico was the few hundred thousand there is a bunch of few hundred thousand here, few hundred thousand there. But the biggest one would be China for sure.
Mark Petrie: And you expect Dorel Juvenile China to be additive to earnings by Q4, is that right?
Mart Schwartz: That’s our goal.
Mark Petrie: And do you guys have a leverage target I think you’re at about 3.5 times net debt to EBITDA right now?
Mart Schwartz: We’re little bit under that we want to get to below 3 by the end of the year.
Mark Petrie: And then just in Juvenile in the U.S.in the mass channel, you said you’ve been making nice progress and cost isn't performing well. What about Safety 1st and what’s the outlook there?
Mart Schwartz: I mean we started that sort of the next brand that we’re working on Martin mentioned a new stroller that we launched that we have high hopes for and we’re going to continue to focus product on that brand. It’s a higher price point brand than the Cosco brand and that’s got to be the next brands that we have some success with.
Operator: The next question comes from the line of Danielle McCoy from Wunderluch. Your line is open.
Danielle McCoy: I was wondering if you have or could provide us and kind of break out the percent of international versus U.S. for Juvenile and Sports divisions?
Mart Schwartz: So Juvenile in the U.S. is about 40% and it’s about just over 50 for the bike business.
Danielle McCoy: And then just wondering if you can give us an overall view of the Juvenile market in terms of increased pricing competition, given the ability to compare prices, match prices on the Internet and what you are going to doing to mitigate this kind of issue that’s been going on?
Mart Schwartz: Sounds like a little bit more of a U.S. issue I think we certainly don’t have that problem South America. What are we doing with that, I mean it’s a problem I guess everywhere, we’re trying to manage, how do you manage that, you manage that by exclusive products to certain retailers and you try and manage that as well by -- I mean there is a lot of different ways, it’s not been a huge problem for us that’s why I am not coming up with a lot right away I mean that’s not obviously there is an issue here and there, but generally we don’t have that problem in general.
Danielle McCoy: And then just lastly what should we expect for this year for D&A?
Mart Schwartz: I think the first quarter was pretty indicative of what we are going to do throughout the year, so 14 million, so 14 million or 15 million a quarter.
Operator: Your next question comes from the line of Derek Lessard from TD Securities. Your line is open.
Derek Lessard: Yes, I’m just wondering about how comfortable or what’s your clarity on the various foreign exchanges going forward?
Mart Schwartz: Same as your, Derek. I don’t know I mean we have had do. We’ve seen stability now in the last few weeks, is it going to last, I don’t know. We’re kind of viewing everything from around where we are today. We have more hedges going through this year to-date than we had the last time I talked to you. So in some currencies we're pretty hedged. That only takes care of the transaction. In Europe where we make a lot of money the translation of our earnings back to U.S. dollars is very large. In the first quarter just translation of all the different currencies was about $3.5 million and that’s nothing you can hedge against that.
Derek Lessard: That was in Europe.
Mart Schwartz: No, all of them together but Europe is the bulk of that. Europe is about 3.1 of the 3.5. That’s a big deal euro and just on the translation.
Derek Lessard: Just maybe talk about what -- you mentioned you’re getting nine new product launches in the bike business this year. Maybe you can just talk to a few that you think are -- that have the best potential or growth potential. What’s getting you guys excited?
Mart Schwartz: A lot of them are really -- some of them is competitive issues. I mean I think people know one I think we can talk about without explaining it is we have a new EVO. You’re familiar with the EVO bike, which is the flagship road bike. So we have a -- we’ve been tweaking it for years. We finally have a complete new bike out there now. So we’re pretty excited about that. And then we’ve got eight -- that’s platform, we have eight other platforms. So within each platform there is a whole bunch of model. So there is more platform than we’ve ever introduced then probably more than we should have introduced in one year. But at the same time we’ve been behind so we wanted to get these products out and we’ve shown them already to a number of international distributors, had a show in Taiwan about a month ago and we were told this is the best product line that Cannondale’s had in years. So we’re pretty excited about that.
Derek Lessard: And when you say -- so does that bring you up now to the competition in terms of different -- various product lines, price points and all that?
Mart Schwartz: I mean that’s the idea, right. So we haven’t seen what they are coming out with but we hope to be ahead to them. There is the lot of stuff and it’s in the mountain area, in the road areas -- there are some new platforms that kind of don’t in this today in any area. So we’re really tapping a lot of different stuff, and we’re pretty excited.
Operator: Your next question comes from the line of Anthony Zicha from Scotiabank. Your line is open.
Anthony Zicha: Yes, Martin, could you give us some color on terms of how Dorel Sports is experiencing increased competition in Europe and North America stemming from Internet direct sales to the consumer? And how well are you positioned to deal with this increasing challenge? And I guess we could say the same thing for some juvenile products. But do you see this as a big change in the distribution channels going forward?
Mart Schwartz: Definitely I'll answer that. I don’t actually see in the Juvenile, so it’s not really an issue. But we do see, there are couple of brands that are selling direct to consumers more in Europe than in the United States. And yes, it is a bit disruptive because they are avoiding the dealers. So it’s a threat to the dealers as well as competition with ourselves. Having said that we continue to grow in Europe double-digit. So it’s obviously affecting brands not necessarily our brands but it is affecting the channel. And again we’re going to continue to go, I mean there is some benefits of going traditional, if you are buying a bike for $10,000 or $5,000 you want to fit it probably, you want it with all the expertise that the dealer can do and the service. When you are buying yourself and have to put it together yourself, you might take some money but you’re really getting exactly the right fit and everything that you need on the bike. So we’re monitoring it. We’re aware of it. But right now it hasn’t hurt us, like I said we’re growing in Europe but our phenomena is larger than it is anywhere else. Operator [Operator Instructions] Your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Your line is open.
Stephen MacLeod: I just have two follow-up questions. First, can you say what Lerado contributed in terms of the top line in the quarter? And then, secondly, is it fair to say that on the bike side you have a generally positive view for the mass channel for 2015 given the momentum through the quarter.
Mart Schwartz: On to the second one first, but yes I mean we were behind a little bit on the mass but we’re actually looking at a good positive year. We plan to come in on plan and plan is ahead of last year for the mass side. And we haven’t changed that. We got off -- January was a little bit of a slow start had a good March, had a good April lots of listings in the back half very excited about our ride on toy business which is proving to be significant now in that segment. So overall we’re still very bullish on that. And the first part Dorel China revenue is about $34 million.
Operator: Mr. Schwartz there are no further questions at this time. Please continue.
Mart Schwartz: So I want to thank everybody for joining us today and I also take this opportunity to invite all of you to our Annual General Meeting, which will be held in Montreal at the Mount Royal Center on Sherbrooke Street at 10 AM on May the 20th, exactly three weeks from today. It’s a great opportunity to see our newest products and to meet many members of the Dorel’s senior management team. We look forward to seeing you there. Thank you again and have a pleasant day.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.